Operator: Good morning and welcome to the Digital Ally 2017 Annual Operating Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Statements made on today’s call will include forward-looking statements including statements regarding our expectations, beliefs, intentions or strategies regarding the future, including statements around projected spending. We intend that such forward-looking statements be subject to the Safe Harbor provided by the Private Securities Litigation Reform Act of 1995. The forward-looking statements information is based on current information and expectations regarding Digital Ally Incorporated. These estimates and statements speak only as of the date on which they are made, are not guarantees of future performance and involve certain risks and uncertainties and assumptions that are difficult to predict. All forward-looking statements that are made on today’s call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in our press releases we issued Tuesday evening in greater detail in our Form 10-Q filed with the SEC under the caption Risk Factors. You may find this and other SEC filings on our website at www.digitalallyinc.com. Please note that this event is being recorded. I would now like to turn the conference over to Stan Ross, CEO of Digital Ally; and Tom Heckman, CFO of Digital Ally. You may begin.
Stan Ross: Thank you very much and thanks everybody for attending today. Tom’s going to do a pretty in-depth review of our numbers for 2017. And then, I’ll take back over and give you a little bit of color in regards to what we’re seeing in 2018’s outlook. I’ll also cover our strategic options that we have out there that we’ve retained Roth Capital Partners to assist us with, and will also get into our patent litigation, concerning our lawsuits that we have against Axon and WatchGuard. So, Tom, I’ll let you start off. And then, I’ll jump in after that.
Tom Heckman: Thank you, Stan. And welcome, everyone. I appreciate you joining us this morning. I want to remind you that we did file our Form 10-K this morning. And I would refer everybody to the 10-K as filed for a more in-depth and full disclosure of what’s going on with the Company and certainly with respect to the year-ended 12-31-2017. So, please refer to that. I’ll direct my comments more to the larger issues and larger trends that we’re seeing as we sit here today. First of all, I want to -- I think, everyone realizes our conference call and our filing of our 10-K has taken a little longer this year than it typically does. And in fact, we did file an extension, an automatic extension with the SEC that gave us an extra 15 days. So, by filing this morning, we met that extended due date. So, no harm, no foul in terms of that. The primary reason for the extension or the need for the extension was we needed to conclude the refinancing that occurred and actually closed on April 3rd. Although we tried our darndest and really wanted to get this thing close by the end of March, so we could file on time, we weren’t unable to do so for a variety of reasons including Easter holiday, obviously. But anyway, that’s really the reason for the extension. We wanted to conclude that and be able to put that in our financials and in our financial statement footnotes as a subsequent event. Just talking about that refinancing. We closed on a $6.05 million 8% convertible debenture with institutional investors on April 3rd. The conversion price is $2.50 per share, which is roughly $0.20 a share above market on a day of close. The convertible debt has 40% warrant coverage included in that. And the exercise price on the warrants is $3 per share. So, we got a premium to the market in terms of this financing. We think it was a good refinancing for the Company. We did have some various alternatives that we were looking at including the existing institutional investors that have the maturing date from December 2016. And we concluded to go with this new group of institutional investors. And we believe that it was the best deal for the Company and for the investors from a dilution and cash impact. The convertible debt is a 13-month maturity on that debt, and then P&I payment start in month four. So, we’ve got four months of no pay principal interest and after the fourth month, assuming that we do meet the equity conditions in the notes, we can also pay that with PIK payments of stocks. So, anyway, we believe that was a good transaction for us, a good financing and it got the maturing debt off our folks and paid off. So, that was really the reason for the extension. Looking at the 2017 financial statements. Obviously, they were disappointing to management and the Board and probably to the investors as well. Revenues declined by $2 million. And let’s look at the reasons for this decline. I think, the number one reason was, we did face fierce price competition in our primary law products, particularly the body-worn camera area and as well the in-car systems. I think, many of you have heard about the one-year free product and free cloud services offered by one of our competitors. We chose not to participate in that kind of promotion. And quite frankly, we believe that after the initial years that we will get another crack at those customers when sticker shock sets in with the re-upping of those contracts. So, we decided not to participate in those price -- deep price discounts, in fact giving product away and services away. And we believe that’s not the way to compete in that area. Also, we are moving forward with introducing some new products and especially in-car video systems for both law and commercial. Our products are somewhat dated. We do need to come out with newer technology, fresh technology and actually what we believe will be leapfrog technology that we will go forward and probably apply for patents, on certain features of that which obviously with the patent litigation in our market, we have competitors that try to copycat our advances in technology. And we will protect our intellectual property as we have with the auto-activation technology that we’ve already filed patent infringement cases on. So, we will be introducing new products later this year. We’ve got internal deadlines that I won’t share with you but we believe that we will be coming to market with new high-technology, leapfrog technology, if you will, during 2018 for in-car systems. Commercial revenues did increase somewhat from a lower base, but actually it really should have been a much higher increase. I think, we talked about the AMR contract issues that occurred last year. That was our largest commercial contract to-date. It got stalled because of some issues with some recording capabilities or some events that did not get recorded. We have worked through those issues and are now moving towards conclusion and resolution of those was issue. But that did contract revenues from the commercial side. Otherwise, it would have been a much larger increase with commercial revenues. Also, our commercial revenue sources are primarily service revenues through the fleetvu.com, cloud based management system. Therefore, generally, commercial revenues are not driven by upfront product hardware sales or driven more by two to five-year contracts for service -- cloud services using our FleetVU contract. So, in reality, that -- although the commercial products revenue did increase during the year, would have increased more had we included all the revenue from the service side, but accounting requires us to amortize that over the period of the service. Looking at 2018, what are we doing to increase revenues and reverse this declining trend in revenues? First of all, VuLink sales are perking up. VuLink is our auto-activation technology; it is patented and it is a central part of the litigation we have right now with Axon and WatchGuard. We did sign a supply and distribution contract late last year with VieVu, LLC. It required only $50,000 of shipments during 2017. It was signed late in the year; I think it was November. So, it only required $50,000 in shipments in 2017, which they complied with. They have to buy $2.5 million of VuLinks from us in 2018 to maintain their exclusivity, as well as $3 million in 2019 to maintain their exclusivity. So, we’re very hopeful that that happens, and that obviously that’s a big shot in terms of revenue for us in 2018 and beyond. The introduction which I talked about of the new products in late 2018, I think, the market will be very receptive to the new features and new technology that we’re going to be presenting. We believe that that will lead to some improved in-car video sales. The AMR contract for commercial purposes, we talked about a little bit. Generally, let me give you some parameters. AMR has roughly 1,500, 1,600 deployed units. What we have agreed to so far is that we will go out and upgrade firmware and replace internal SD card memories in about 600 of those. And at the same time, we will deploy ATU units, asset tracking units in those 600 units and the ATUs will generate recurring service revenue of about 20 bucks a month. So, you do the math. We’re in process of upgrading and installing those ATUs in 600 units. And obviously that will generate more service revenue for commercial contracts site. The NASCAR sponsorship and I know Stan will probably talk about this more. Gosh, we’re very excited about where we’re at with that. I won’t tell you the terms of it. Stan may allude to it later. But companies our size, typically do not get that kind of access to the sponsorship, the other sponsors in NASCAR. And everyone can look at the race cars that are there and the companies that are well represented there. NASCAR runs their business as a family business and they very much promote sponsors to buy from other sponsors, to do business with other sponsors. And we’re very excited about the opportunities that that might lead to. And in fact, we’re already well down the road on a couple of very large opportunities that we’re generating specifically by the NASCAR relationship. We have some very large international opportunities in both large -- in both law and commercial. We can’t really report anything at this point, but there is some large stuff going on, particularly in Europe, Turkey, Central and South America that involve both body cameras and in-car systems that we’re very excited about. They’re well beyond the selection phase. We have been selected as a provider, but we’re still hammering out contract details and implementation. And we’re dealing with the laws in general that require data to not be stored outside of the territorial boundaries of those countries. So, we’re excited about those opportunities. But, it’s going to take a little bit of time to work through all the issues that surround the storage of those videos and stuff. Second are I would like to talk about is our SG&A. If you look at our financials for 2017 versus 2016, our overall SG&A burn was reduced by $2 million. And primarily that was a result of an initiative that Stan and I took to the Board and the Board approved in the fourth quarter of 2017 where we did a substantial headcount reduction and implemented some containment measures and SG&A. We’ve seen a lot of progress just in the 2017 figures. And again, that was implemented mid-way through the fourth quarter. And then, some of the headcount reductions did not occur and SG&A reductions did not occur until first quarter 2018. So, 2018 should reflect the full-year of these savings and reductions. Our expectation is based on our current estimates of deployment of these savings is that SG&A will be reduced by $4.5 million or better in 2018 versus 2017. So, as you can tell, it’s a very, very significant step in the right direction on the SG&A and more kind of sales [ph] towards EBITDA positive results. Obviously, the SG&A cuts were painful but necessary to do that. With the substantial reduction in SG&A, our EBITDA breakeven point is now in the low 3s per quarter, 3.2 million, 3.4 million, and that’s really -- the exact pinpoint of that is really dependent on the gross margins that happen in 2018. So, we brought down our breakeven substantially with these cuts. And hopefully, with the improved revenues that we talked about earlier, we’ll be inching towards and moving towards EBITDA positive results in 2018. Overall, 2017 was a difficult year but there are some very large catalysts that are out there that either have happened or will happen or we believe will happen in the near future. What the catalysts that have happened? We started the monetization of the VuLink patent. We’ve talked about the VuLink contract. Competitors are coming to us now. With the successes we’ve had in the courtroom and at the patent office against the competitors, Axon and WatchGuard that we believe walked all over our patent, our competitors are now seeing that this patent is going to stick, and they are coming to us. We believe we’ll have some more monetization transactions in 2018, 2019. Also, the patent litigation is progressing quite well. We’ve won just about at every point so far. There’s, I can’t recall, five or so IPRs that have been asserted and the patent office has pretty denied all but one, and that one is -- should be resolved in June. So, we’ve done nothing but win in the courtroom and in the patent office. So, we expect and hope that to continue as well. I talked about the NASCAR affiliations and the immense opportunities that that presents to us. That’s a high point for 2018, 2019. We do need to monetize that relationship, and we are well upon our way to do that. The commercial fleetvu.com, the cloud-based software and driver management monitoring platform is the leader. It’s recognized as a leader in the commercial industry. What that basically does is marry -- there’s a lot of metadata providers and asset tracking providers that give you the information but very few combine that with the video capabilities, video and audio capabilities that we have, especially with the VuLink where we can do automatic activation with it as well. So, we are recognized as a leader and we believe that that is a catalyst that will really come home in 2018 and 2019. Obviously, the SG&A reductions that we’ve already taken in late 2017 and early 2018, will have a huge impact on our full-year results for 2018. Here’s the things that we expect to happen in the future that will be large catalysts. We talked about continuing to monetize the VuLink patent. Hopefully, we will have some news on that shortly. We just need to continue winning the patent litigation against both Axon and WatchGuard. We talked about that. The new product platform will be introduced later in 2018. We believe that technology will be very appealing to customers, and we’ll leapfrog competitors and we will file for patent protection on that for obvious reasons. We are close on some big commercial contracts, both international and NASCAR related as well as just generally. We have done a good job of marketing commercially our FleetVU and DVM-250 event recorder. So, we are very excited about some large opportunities that are out there. So by and large, 2017 was a difficult year, no doubt about it. But, we believe there’s catalysts that have happened and will happen that will catapult the Company back into profitability and hopefully improve the stock price in the near term. Stan?
Stan Ross: Thanks, Tom. Like Tom said, we are seeing strength in both the law enforcement and the commercial divisions and honestly anticipate and expect to see growth in both of those divisions, not only because of the stance that we are having in regards to the substance behind our patents but the overall market itself seems to be a lot healthier. And again, the commercial market is quite new and available to us. There’s a tremendous amount of new opportunities that are popping up in that division. So, I anticipate that both the divisions to have a great 2018. In regards to our strategic options that we are looking at, give you a little background for those that have not been following real closely. A lot of this started back in October of last year and it was unsolicited, but there was a little bit of consolidation going on in the law enforcement market. And we ended up winning in the patent office against Axon, again, one of the challenges that they had put up against us. And so, as soon as we had that win underneath our belt and that acquisition occurred, we started getting calls from other companies, not only within our industry but wanting to enter our industry. And therefore, it put us in a position where we needed to go get some outside assistance that could deal with this type of -- these inquiries as we still tried to stay focus on running the business. Since that has occurred, there’s been multiple companies that have contacted Roth Capital, multiple NDAs that have been circulated and signed. And we’re even at the point of visiting their corporate headquarters as well as their -- would be visiting and ours. So, that’s way down the road. We really didn’t let the Roth Capital get very aggressive about going forward on the strategic opportunities because we also knew that we were going to be hearing concerning another IPR that was being challenged in the patent office by WatchGuard, and that deadline was in December. And again, we were successful in the patent office in December. And therefore, we were setting in a really in position in regards to our litigation capabilities to go after both the Axon/Taser and also WatchGuard. So, we’ll talk about them one at a time right now as far as the strategic opportunities. You sort of have to break up the company and look at it from a number of different assets. Obviously, the law enforcement business and customer base -- and is an asset on its own. Commercial division and its customer base is now set on its own. Our IP clearly has value. And then, we look at the litigation as having a tremendous amount of value. We feel that the successes that we’ve had in the patent office, now puts us in a great position to get in front of a judge and jury, and I say Kansas judge and jury to go ahead and demonstrate the not only the infringements but the damages that we believe have been generated due to the fact of these guys walking all over our patents. So, with those four different assets out there, we can get real creative in regards to what we think is strategic. It could be anything from maybe selling off our IP and keeping the litigation, maybe selling off law enforcement and the IP, maybe selling the whole company. But all of those options are being explored, and there are numerous parties that have what I’m going to say areas that is more attractive to them than one. And there is also others that are in arrested in the big picture and that’s everything. So, pretty excited about our strategic opportunities. As far as the litigation goes and the timing on it, as Tom mentioned, we have been challenged numerous times by Axon in the patent office, and they have been quite unsuccessful in their challenges. We have now been able to go back to the court. We were able to have the stay lifted. We on, I want to say March 7th, we had the Markman’s hearing, in which we are waiting on a ruling on that which could occur any day; really anticipating that to occur. I would be a little bit surprised if it goes much longer than this month. And then after that happens, we have been mandated to do mediation within 30 days of it. And also discovery would be within 60 days of the ruling of Markman’s hearing as well. So, you can see we’re way down the road in regards to this litigation. Matter of fact, there is a pre-trial conference scheduled for July 24th against Axon. So, we anticipate a very active next couple of quarters in regards to our case against them. WatchGuard, they were challenging one of our patents. And again, the WatchGuard situation is a little -- I’d almost say little stronger due to the fact that they right out of the box were violating three of our patents. And they were setting their -- and they challenged one of them called the 950 and were unsuccessful in it. And that ruling came down in December. So, they were -- there was a hearing on the 292 back in, I want to say this in February. And that ruling will come down in June. But, once that comes down, no matter how it plays out, it really doesn’t matter how it plays out because we still have the other two patents against them, we will be going and approaching the court to lift the stay there. And we do believe that possibly the damages concerning and surrounding the WatchGuard could be equal to that that we will be pursuing against Axon. So, the litigation is moving along nicely; it’s taken forever but it’s one of those things that as you could tell, it’s a tremendously lot closer now than it’s ever been. There are normal challenges to deal within the patent office, concerning the patents that we’ve talked about and the lawsuits that are out there are being addressed. So, it’s now time to get in front of a judge and jury. So, we’re pretty optimistic about what our options are on our strategic front. Obviously, we’re pretty optimistic of what the business looks like for us and the growth at hand. And we will keep everyone well-informed as things progress. So, at this time, I think we would like to go ahead and open up the conference call for questions as well.
Operator: [Operator Instructions] And your first question comes from Ishfaque Faruk.
Stan Ross: Hello, Ish.
Ishfaque Faruk: Hi. Good morning, guys. So, could you give me a sense for how far and how many different parties you’re currently speaking with, given your strategic review? And how far the process is along?
Stan Ross: Yes. What I can tell you is that I know that there is probably -- we’re well over a dozen people that have shown levels of interest. There have been nondisclosures that have been signed off on that’s in the works or have already been signed up on six to eight of them. And then, talks have occurred with several of them. And then, you’ve got to realize, some of the initial conversations are being held by Roth while we’re continuing to run the business itself. And again, we held them back, like I said, Ish, in regards to making sure some of the real value points in regards to digital. We’re going to be very clear for those that are taking look at us. And that revolved around the timing of the challenges in the patent office and the litigation.
Ishfaque Faruk: Okay. And in terms of WatchGuard, when you think there will be a resolution? I mean, WatchGuard filed a lawsuit against you too, right? So, isn’t that going to be [indiscernible] in the court?
Stan Ross: I’m not sure I’m familiar with what you’re talking about there, Ish.
Ishfaque Faruk: They filed a motion for inequitable conduct on your part too, right?
Stan Ross: The counterclaim stuff? I mean that would be customary. I mean that’s nothing that we’re too concerned about. I mean, the bottom line is, they violated our patents. If they didn’t believed they violated, then why did they try so hard to invalidate them, years, and I can imagine how many hundreds of thousands if not millions of dollars they spent on trying to invalidate them. So, these guys got to do something to try to scare us off, try to have a spend a little bit more money, but it’s not the case. We have been very successful in the patent office. And that patent office challenge is basically over with; it’s now a courtroom time.
Tom Heckman: Yes. I would add Ish that to-date, as far as I can tell and reading the law -- the court proceedings in that, neither WatchGuard or Axon have really come have out and said that they don’t violate our patent. They’re just trying to invalidate it, so they can continue on with their infringing product. So, it’s really not a question, whether they violate the patent; they obviously do or else they wouldn’t -- they wouldn’t have gone to the patent office to try and get them invalidated. So, the question is fairly clear and straight forward as to, if the patent stands, which it has so far and it’s withheld five, six, seven IPRs and such that the answer is pretty apparent.
Ishfaque Faruk: Okay. In terms of financial impact, which one of the company, either WatchGuard or is it Axon, which one is having a bigger impact in your -- trying to in your contracts and when you’re solicited the law enforcement ISVs et cetera?
Stan Ross: Yes. So, I think if I’m understanding your question correctly, obviously Axon is the leader when it comes to body cameras. They’ve done a very, very aggressive campaign and have had a lot of success. You have to give them that. I mean, the approach they’ve taken is they’ve turned up [ph] business. And so, they’ve got a tremendous amount of agencies, officers, licenses that are out there in regards to the body cameras. In regards to in-car, WatchGuard is the Company to go after. I mean, WatchGuard is a good company, good competitor. I mean, I’m not knocking the companies and their products, it’s just the fact that the way they went about walking all over our technology that we spent a lot of time and energy developing, and should have had been able to monetize that in the general course of business. These guys just quickly copied. But so, you’ve got one, in regards to WatchGuard, it’s much more of a presence in the in-car and obviously Axon in regards to the body camera. Now, when it comes to monetization and/or damages, I will tell you what, they may be run neck and neck. And I say that only because I don’t have a clear picture of what to bookings and such look like in regards to WatchGuard. Axon has put their numbers out there. And you can get pretty good understanding. As a matter of fact, even in the most recent press release, they have no problems going ahead and talking about their Axon signal device, which is comparable to our VuLink. So, we really don’t know who’s -- until we get the final discovery completed, who may have to write the biggest check.
Ishfaque Faruk: All right. In terms of like the Axon, it has been like really affecting your sales for the last couple of years. Do you still have any sense for the timing of when this whole thing will go away and/or when you [indiscernible] any damages to us?
Stan Ross: Yes. So, let me give you a couple of things that I think again, and this is -- clearly falls into the forward looking statement and speculation and stuff. But you have to realize that we have been taking it on the chin time after time after time in regards to both parties coming after us. And we have been successful in dealing with them in the patent office and now moving forward to the courtroom. And the fact that there is already a pretrial date set for July 24th, on Axon is a pretty good indicator of where we think we’ll be with regards to the ruling of the Markman’s hearing, also on mediation and the closing of discovery. WatchGuard will be a little bit behind that. But I think if you start seeing rulings coming down in our favor in regards to the Axon case, WatchGuard will probably be wise to want to come to the table sooner than later in regards to their scenario because it will start to get to a point where there is going to be possibly ruling out there that would look very unfavorable for them at the time they get to the courtroom. That being said, because of the strategic opportunities that we are looking at, one of the things that I’m sure that the two parties that I’m talking about have been thinking in the back of their mind and we have heard in the past is that these guys just won’t go away, meaning Digital Ally, we just won’t go away. We continue to fight another day, another round and stay in there and have being very aggressive. The thing that they’ve got to be worrying about is now you have entities that are obviously larger than us that are contacting us and probably are a lot stronger positioned financially to weather this storm. And that’s probably go to make them a little bit concerned as well that if we do have a much larger player come into this, then they know they’re going to have to go to the map.
Operator: [Operator Instructions] Your next question comes from Bryan Lubitz.
Bryan Lubitz: I wanted to dive into the cost reductions that we have that Tom had alluded to earlier. And I just wondered, Tom, did you say the breakeven for us for a quarter, now it’s about $3.2 million for revenue?
Tom Heckman: Well, Bryan, that’s what I said because once the SG&A cuts come into full fruition, now, some of those, in fact a pretty good size, a substantial portion of those came to effect late in January. So, we won’t get the full effect in Q1 but we certainly should in Q2, 3 and 4. Yes, I mean, 3 million, 3.2 million, 3.3 million, in that range, and the reason I’ve given you range is the gross margin is kind of bouncing around on this little bit, product mix and all that. But, I think that is a reasonable goal. That gets us to EBITDA positive or at least neutral range and that’s our immediate goal. And obviously our long-term goal is a lot higher than that.
Bryan Lubitz: Okay. So that being said, you also alluded to in the earnings report, jump in the residual business that we are getting from the data storage products that we have and you also talked about the upgrade over at AMR, which would add to that number. Those are significantly higher margins than just selling our product, correct? Those are 80%, 90% in that range?
Tom Heckman: Yes. Well, it’s software services obviously, and we’ve already expanded that as R&D when we developed the fleetvu.com platform and that. And really our only cost -- our true cost going forward is the cloud cost, which is minimal compared to the revenue side. Now, we have looked at -- at least on the commercial side, our recurring service base on contracts in place and already on the books will exceed $1 million in 2018 already. So, we’ve got $1 million of recurring service revenues on the book already. And quite frankly, we’ve got several tuck-in, more than three, four, five, large contracts, commercial contracts that we believe we will book here hopefully in the second quarter, if not the third that will probably more than double that. So, we’ve got some significant opportunities. You are right. The margins on that -- on the fleetvu.com especially are very nice because we’ve already expanded the R&D to build up that platform.
Bryan Lubitz: Okay. So, it kind of jumped ahead of me with -- into the big commercial contracts. I want to still stay with the margins aspect of it. When you say very nice, am I going too high in seeing 80%, is it closer to 70%...
Tom Heckman: I would say, it’s at or around 80%, put it that way.
Bryan Lubitz: Okay. Obviously, the more that increases, the more that helps our margins overall. And just bear with me, Tom. So, you are saying roughly 3.2, and I just want to for my own mind here, we did 14.6 revenue for the year this year without these cuts, and now we have these cuts and we have an expanding margin product that should even bring again those numbers higher. So, if that was everything implemented that we had this past year, if that was implemented in that past year, and assuming no other promise, we would have been profitable for the year with that close?
Tom Heckman: Well, probably not profitable, in accounting sense, but in EBITDA sense we’d certainly been very close to breakeven.
Bryan Lubitz: Okay, all right.
Tom Heckman: We do have a lot of non-cash financing cost below the line. But from an EBITDA cash flow perspective, you are right, we would have been much closer to breakeven.
Bryan Lubitz: Okay. Now, AMR, obviously you guys are going back; they’ve continued to use our product the whole time, but we’ve put the original installation of their whole fleet, which correct me if I am wrong, was close to 7,000 or 8,000 ambulances, we’ve put that on hold. Do we expect after this upgrade of the 600 units to resume that contract as well?
Stan Ross: So, we’re there. Bryan, as you know they went through an acquisition. And so, we feel like that’s probably was more of the reasons that everything put on hold or the breaks that were hit because, we are seeing their acquisition is being completed, we are seeing additional orders, we are seeing the upgrades, we are seeing starting to get back to business as usual. What we don’t have a good sense of yet is really how aggressive they will be to go ahead and finish what they started. They’ve had a lot of success with them. The fact that they’ve had our units in their vehicles that have saved them, I’m sure countless millions in regards to litigation and liabilities, costs associated with it. So, it’s a little early Bryan to really have a good sense of where that’s going. But, there is definitely a very positive atmosphere between the two companies.
Tom Heckman: Yes. And I would add, Bryan that there has been some catastrophic events that have occurred since last year are the time when they put this contract on hold that our systems did capture. And that’s a good omen. I mean, they see that. And I can tell you the countless number of events that some are humorous even, if you will that they caught and been able to get out in front of and manage their liability exposure. So, they see and are enjoying the fruits and the cost containment reductions and liability reductions of our systems. So, our systems are performing for them. And like Stan said, and let me back up, they went through a large acquisition. They were acquired by KKR and merged with or will be merge with Texas Air Medical Group. So, they were going through a very large corporate transaction. Their parent was changing. They -- obviously when those type of transactions happen, capital expenditures are restrained and constrained until the deal is done. And I know they had some antitrust issues they had to resolve out in Hawaii I think, and so the various reasons. I think 2018 hopefully will be better for that contract.
Bryan Lubitz: Okay. Now, I’d like to talk about VieVu if we could. How much of VieVu account for, for our revenue for last year?
Tom Heckman: The contract was signed in November and we had to do a little bit of engineering to get the product ready to integrate with their product. So, the contract required then to $50,000 worth of VuLinks in 2017, which they did. So, $50,000 is the revenue from the VuLink or VieVu contract in 2017. 2018, they have to buy $2.5 million worth of VuLinks to maintain exclusivity. And they have to buy $3 million or above in 2019 to maintain exclusivity.
Bryan Lubitz: So, this contract obviously with the cuts that we made and assuming we continue with the same business mix we already have from last quarter, could really put us over that level to get to profitability or at least on the EBITDA part?
Stan Ross: Yes, the VuLink product is -- it’s our patented product. And quite frankly, we’re monetizing it and we should have that opportunity, because we invented it, we’ve built it, and the market demands it right now, I mean, it’s really a standard, and most contract offerings and bids that are being floated out there. So the VieVu contract we believe is the start of something big on the VuLink side, especially as we hopefully are successful with the Axon and WatchGuard litigation. And as I said before, we have other competitors coming to us wanting to license or get a supply contract or buy from us or somehow be able to use that technology. And that’s how it’s supposed to work. But you have characters in our industry that don’t play by those rules.
Bryan Lubitz: Yes. Can I ask regarding VieVu? They have the NYPD contract, correct?
Stan Ross: Correct.
Bryan Lubitz: And now that’s the contract that requires hands-free activation.
Stan Ross: I don’t recall if it required hands-free activation at the time that they were awarded it. But I know that it’s a feature like all departments that they would be interested in. I mean, again Bryan, you can -- there has been too many cases where departments have done the right thing and have got in-car systems. They’ve got body cameras. But unfortunately for whatever reason, the officer did not activate those devices. And that becomes a real nightmare when those situations happen, especially if there is a shooting or fatality of some sort. It just doesn’t look good why you not turn on your body camera.
Bryan Lubitz: Yes, or you commute it in some cases, like what happened in Seattle. Can I ask, does VieVu have an in-car dash system?
Stan Ross: They do not.
Bryan Lubitz: Okay. Is that something that we’re looking to break into a space with them on? I mean, obviously they’re covering a lot of our about products or similar products, have we had talks with them regarding that?
Stan Ross: We’re open to talking to a lot of different companies. Seriously, I mean VieVu is a great company, the people that we’ve worked with there are tremendous, very excited about continuing to work with them. But honestly, I would -- even though we’re suing them but there is nice companies out there like WatchGuard that they do produce a good product, they are a very capable competitor that keeps us on our toes, keeps us pushing every day to have more innovative products and designs, but they are a pretty nice organization as well. My point being Bryan is that we’re receptive to talking to anyone if it makes financial sense for us all.
Bryan Lubitz: Now that contract that you have with VieVu regarding them have exclusivity and now the fact that we’ve hired Roth, and Stan you had we had roughly 12 companies, inquiring roughly six to eight NDAs and talks with several of them where it’s going to progress to potentially corporate headquarter meetings. Is VieVu a part of that group? And if not, how do they feel about having an exclusivity with us and us potentially selling ourselves out as a company?
Stan Ross: Yes. That’s -- Bryan, I can’t disclose who the parties are.
Bryan Lubitz: Okay. So, reading -- I’m not going to go there, okay. I don’t want to get you in trouble or me.
Stan Ross: That’s right.
Bryan Lubitz: Did you mention Markman's you expect to have within a month? I mean, it’s been…
Stan Ross: It’s been since March 7, I think it should -- again, I really believe it can happen almost any day. And I would anticipate it clearly not going past April, because again we’ve already got a July 24th, pretrial date set. And I would hope that and bringing into it that the mediation and discovery would have been completed by that date as well. So…
Bryan Lubitz: And how much time you need for that, the mediation and the discovery?
Stan Ross: Mediation, they have requested it to be done within 30 days. And if I know Axon, they’ll try to set something up on day 29. And the discovery would be then another 30 days at the end of that. So, a total of 60 days after the Markman’s hearing. So, again, all that still can fall within the timeline that we’re talking by far as the July 24th date.
Bryan Lubitz: Okay. Otherwise, they would push back that date?
Stan Ross: I’m sure they would try.
Bryan Lubitz: Yeah. Okay. Last, I know it’s a last thing before, last thing. You had mentioned Tom that we were very, very close, and you guys have said this on other conference calls and we’ve announced major contracts like AMR and such and Yellow Cab and some of the things that we’ve done with parties. So, we believe you when you say you’re close on contracts. You had mentioned something about possible second quarter, possible third quarter and the commercial fleet. Is this off the heels of what we have going on with NASCAR?
Stan Ross: Well, part of it clearly is developments that have came from there, but honestly, the majority of the things -- and this is Stan, the majority of things I think Tom is referring to we’ve been working on prior to NASCAR.
Bryan Lubitz: Okay. Well, thank you very much for your time guys.
Stan Ross: Thank you.
Tom Heckman: Thanks Bryan.
Stan Ross: We’ve been pushing this thing it looks like a little over 50 minutes. We’re a little longer than what I thought. I do want to thank everybody for their time today and really appreciate the input, the questions, the emails that we’ve received and the leads that even some of our shareholders have generated for us. It’s all been very appreciative. And again, I couldn’t be more excited about 2018, our prospects not only with the SG&A, things that we’ve done there to right the ship but the prospects. It seems really exciting. And again the Roth Capital and the litigation at all, looks like 2018 is going to be very exciting for us. So, thanks again for your time today. And we will keep in touch.
Operator: This concludes today’s conference call. You may now disconnect.